Operator: Good day, and welcome to the SunCoke Energy Fourth Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note today's event is being recorded. I would now like to turn the conference over to Shantanu Agrawal, Vice President, Finance and Treasurer. Please go ahead.
Shantanu Agrawal : Thanks, Rocco. Good morning, and thank you for joining us this morning to discuss SunCoke Energy's fourth quarter and full year 2024 results as well as 2025 guidance. With me today are Katherine Gates, President and Chief Executive Officer; and Mark Marinko, Senior Vice President and Chief Financial Officer. Following management's prepared remarks, we'll open the call for Q&A. This conference call is being webcast live on the Investor Relations section of our website and a replay will be available later today. If we don't get to your questions on the call today, please feel free to reach out to our Investor Relations team. Before I turn things over to Katherine, let me remind you that the various remarks we make on today's call regarding future expectations constitute forward-looking statements. The cautionary language regarding forward-looking statements in our SEC filings apply to the remarks we make today. These documents are available on our website as our reconciliations to non-GAAP financial measures discussed on today's call. With that, I'll now turn things over to Katherine.
Katherine Gates : Thanks, Shantanu. Good morning. Thank you for joining us today. Earlier today, we announced SunCoke Energy's fourth quarter results. Before I turn it over to Mark to review the results in detail, I want to share a few highlights from 2024. First, I want to recognize our remarkable achievement in safety performance. SunCoke ended the year with a record setting total recordable incident rate of 0.5. Safety is our first priority and I'd like to thank all of our employees for their continued commitment to exceptional safety performance. Turning to our financial achievements, we delivered consolidated adjusted EBITDA of $272.8 million exceeding the high end of our increased guidance range of $270 million. Excellent performance from our Logistics segment and the onetime gain from the Department of Labor Agreement drove our results. We generated $96 million of free cash flow, exceeding the high end of our guidance range of $90 million. Our coke plants ran full in 2024 and we successfully sold all non-contracted tons into the foundry and spot blast coke markets, delivering adjusted EBITDA within our revised guidance range, despite lower coal to coke yields. In addition, we extended our Granite City cokemaking contract through June 2025 with the option for the customer to extend through year end. In the Logistics segment, we grew our barge business at our Kanawha River Terminal and benefited from the API2 price adjustment at Convent Marine Terminal. We also signed a new three year take-or-pay coal handling agreement at KRT and expect to see the benefit of that beginning in Q3 when the capital project is complete. We made great progress on our capital allocation priorities in 2024 returning approximately $38 million to our shareholders via our quarterly dividend, which was increased from $0.10 per share to $0.12 per share. We expect to continue our quarterly dividend throughout 2025. We ended the year with a gross leverage ratio of 1.83x on a last 12-months adjusted EBITDA basis. Finally, the additional delays of the U.S. Steel Nippon transaction have unfortunately resulted in ongoing delays for an agreement on the GPI project. Despite this, we recognize the significant merits of the project and remain focused on its development. With that, I'll turn it over to Mark to review our fourth quarter and full year earnings in detail. Mark?
Mark Marinko : Thanks, Katherine. Turning to Slide 4, the fourth quarter net income attributable to SunCoke was $0.28 per share, up $0.12 versus the fourth quarter of 2024, primarily driven by lower depreciation expense. Our full year 2024 net income attributable to SunCoke was $1.12 per share, up $0.44 versus the full year 2023. The increase was primarily driven by lower depreciation expense, the 1x gain from the agreement with the DOL and lower income tax expense. Consolidated adjusted EBITDA for the fourth quarter 2024 was $66.1 million, up $3.8 million versus the fourth quarter of 2023. The increase was mainly driven by lower planned outage related costs in the domestic coke segment and higher transloading volumes in the logistics segment. On a full year basis, we delivered adjusted EBITDA of $272.8 million, up $4 million, versus $268.8 million in 2023. The year-over-year increase was mainly driven by the 1x gain from the DOL agreement, higher transloading volumes at domestic logistics terminals and higher API2 price adjusted coke yields on our long term take-or-pay contracts in the domestic coke segment. Turning to Slide 5 to discuss the year-over-year adjusted EBITDA variance in detail. Our domestic coke business operated at full capacity, but was impacted by lower coke deals on a long term take or pay contracts. The domestic coke segment delivered full year adjusted EBITDA of $234.7 million within our full year revised domestic coke guidance range. Including Brazil, our coke operations delivered adjusted EBITDA of $244.6 million. Logistics segment adjusted EBITDA increased by $6.1 million year-over-year, driven by higher volumes at domestic logistics terminals from new spot barge business and higher API2 price adjustment benefit at CMT. The Logistics segment delivered full year adjusted EBITDA of $50.4 million. Finally, our corporate and other expenses, which include results from our legacy coal mining business were lower by $10.2 million year-over-year, mainly due to the 1x gain on the elimination of the majority of our legacy black lung liabilities. Turning to Slide 6 to discuss capital deployment in 2024. We generated operating cash flow of $168.8 million in 2024, including the impact of the $36 million payment to the DOL. Capital expenditures came in at $72.9 million, which was slightly below our guidance range of $75 million to $80 million. We also returned capital to our shareholders in the form of a $0.44 per share annual dividend, which was a use of approximately $38 million of cash. In July, we increased our dividend by 20% from $0.10 to $0.12 per share. We ended 2024 with a cash balance of $189.6 million and full availability of our $350 million revolver, resulting in strong liquidity of approximately $540 million. Now, I'd like to turn to our guidance expectations for 2025. We expect consolidated adjusted EBITDA to be between $210 million and $225 million in 2025. Domestic coke adjusted EBITDA is expected to be lower by $43 million to $50 million primarily driven by lower margins at both Granite City and Haverhill. Our guidance contemplates the lower economics from the contract extension at Granite City and assumes that the customer will execute the additional 6 month option to extend the contract through the end of the year. Currently, we have not reached an agreement on the expiring contract at Haverhill and have assumed that those tons will be sold in the spot market at lower margins. We are essentially sold out for all of our coke products for the full year, but have reflected the margin compression driven by soft spot coke market conditions in our guidance. Brazil coke adjusted EBITDA is expected to be essentially flat year-over-year. As a reminder, the Brazil Coke facility is owned by ArcelorMittal Brazil and SunCoke provides the operating and technological services pursuant to an operating agreement. Logistics adjusted EBITDA is expected to be flat to lower by $5 million in 2025. The absence of the 1x gain on the elimination of the majority of our black lung liabilities will result in a year-over-year decrease in adjusted EBITDA of $9.5 million. Lastly, we expect our corporate and other expenses to be lower by $3 million to $5 million. Moving on to Slide 9 to discuss the domestic coke segment in detail. In 2025, we expect our domestic coke adjusted EBITDA to be between $185 million and $192 million with sales of approximately 4 million tons, which includes contract foundry and spot blast coke. We have approximately 3.3 million tons contracted under long term take or pay agreements in 2025. We expect to sell the approximately 875,000 remaining furnace equivalent tons in the foundry and spot coke markets. Our outlook is impacted by the lower economics from the Granite City contract extension and lower margins on higher spot sales. Our guidance currently contemplates that the non-contracted tons from Haverhill will be sold on the spot market as we do not yet have an agreement in place to renew the expiring contract. While the current pricing environment for spot coke is challenging, there is still demand for our products and we are essentially sold out for the year. Our guidance also includes the assumption that the Granite City coke making agreement will be extended for an additional 6 months through the end of 2025. Moving to Slide 10, to discuss logistics in more detail. 2025 logistics adjusted EBITDA is estimated to be between $45 million and $50 million. Our outlook for 2025 is similar to our 2024 operating performance. We are pleased to announce that we recently extended the take-or-pay coal handling agreement at CMT. The contract is for 4 million tons in 2025 and 2.5 million tons in 2026. And the API2 index based price adjustment has been replaced by an FOB New Orleans index based price adjustment. We expect approximately 4 million tons of coal to be exported through CMT and approximately 4.1 million tons of non-coal throughput such as iron ore, pet coke and other products. We have not included any index based price adjustment benefit from our coal handling agreement at CMT in our 2025 guidance. We expect our domestic logistics terminals to handle approximately 14.8 million tons with the year-over-year volume increase being driven by the new take-or-pay coal handling agreement at KRT. Moving to Slide 11. This slide lays out SunCoke's historical adjusted EBITDA, free cash flow generation and annual dividends paid on a per share basis. As evident from this slide, SunCoke has a strong track record of generating steady free cash flow. We developed foundry coke as a commercially viable product and entered the spot blast coke market, while navigating through the challenges of COVID in 2020. This resulted in 2021 and 2022 being the two best years in SunCoke's history with solid free cash flow conversion. We continue to expand our foundry market presence and participate in a spot blast coke market during 2023 2024, while logistics expanded both their customer base and services. We also refinanced our debt and prioritized deleveraging during this period which allowed us to significantly lower our interest expense while resulting in higher free cash flow conversion. With our leverage target in sight, we prioritize return of capital to shareholders by establishing a quarterly dividend and increasing that dividend each year for three years in a row. As laid out in our previous slides, we expect a drop in our adjusted EBITDA for 2025 due to market conditions, but expect to have solid free cash flow generation in the range of $100 million to $115 million. We expect to have lower CapEx spend of around $65 million compared to our normal run rate of $75 million to $80 million. Our deliberate and careful capital allocation decisions over the last several years have strengthened our balance sheet and financial position, while continuing to reward our long term shareholders with our dividend. Moving to the 2025 guidance summary on Slide 11. Once again, we expect consolidated adjusted EBITDA to be between $210 million and $225 million. Our domestic coke business is expected to deliver adjusted EBITDA between $185 million and $192 million, while the Logistics segment is expected to deliver between $45 million and $50 million in adjusted EBITDA. As indicated earlier, we anticipate our CapEx requirements in 2025 to be approximately $65 million which is lower than our normal annual run rate. We expect 2025 operating cash flow to be between $165 million $180 million and our free cash flow is expected to be between $100 million $115 million. With that, I'll turn it back over to Katharine.
Katherine Gates : Thanks, Mark. Wrapping up on Slide 13, we see 2025 reflecting the broader challenges the steel industry is facing with lower pricing and demand. At the same time, we continue to reliably produce high quality coke and are essentially sold out for the full year. As always, safety is our first priority. We are coming off a year of record safety performance and the team is energized and committed to maintaining strong safety and environmental performance in 2025. Robust safety and environmental standards set us apart and are central to our reliable delivery of high quality coke and logistics services. In 2025, our focus will be on maintaining the strength of our core businesses as we navigate challenging market conditions, as well as pursuing new opportunities across all areas of our business. We continue to see SunCoke being well positioned for long term success. SunCoke has the newest coke making facilities in North America with the leading technology. We continue to invest in our assets to ensure that they are safe, efficient, reliable, and environmentally compliant, putting SunCoke in the best position to grow and diversify our customer and product base. As we've demonstrated in the past, we will pursue a balanced yet opportunistic approach to capital allocation. From a growth perspective, we continue to work on developing the Granite City GPI project. While we are frustrated by the additional delays outside of our control, we continue to believe in the value of the project. As always, we continuously evaluate the capital needs of the business, our capital structure, and the need to reward our shareholders and we'll make capital allocation decisions accordingly. With that, let's go ahead and open up the call for Q&A.
Operator: [Operator Instructions] Today's first question comes from Nick Giles of B. Riley.
Nick Giles: Thank you, operator. Good morning, everyone. Guys, my first question is on the really the longer term outlook for your fleet and maybe more specifically in the event of a non-renewal at Haverhill, how should we think about utilization at that asset in the outer years and your willingness to be incrementally exposed to spot?
Katherine Gates : Thanks for the question. As we've said, currently we've not renewed our Haverhill contract, and as we've said previously we are in constant dialogue with our customers. We recognize that we find ourselves in a challenging market at this particular time. With Cliffs, the capacity utilization rate as you know for both EAF and integrated producers is at about 74%. So at the same time we don't believe that the market as it stands today is going to continue in the long term. This is really a cyclical industry and what we've seen is that we really have an ability to adapt to any sort of changing conditions. So, if you think about our trajectory and as Mark talked about, we've moved forward in developing foundry coke as a product. We now sell that into the market. We've sold spot blast coke very successfully into the market including record years in 2021 and 2022 and we'll continue to adapt and sell whether it be foundry or spot glass coke into the North American or seaborne markets, as well as continuing to work with our long term customers like Cliffs and continue to pursue our long term contracts with Cliffs and with other suppliers.
Nick Giles: Katherine, I really appreciate all those comments. Maybe my next question, you're still anticipating strong free cash flow this year, CapEx is moving down. How should we think about potential orders of magnitude from a debt pay down perspective? And what could this mean further down the road for increased shareholder returns?
Shantanu Agrawal : Nick, I can take the debt pay down question and then turn it over to Katherine for the second half. I mean, where we sit from a debt perspective, we only have that $500 million of senior bonds outstanding. And we refinanced that in 2021. It's sitting at an attractive rate. So right now given what we see in the future, there's no plan of any debt buybacks or anything like that.
Katherine Gates : Yes. And I would say when you think about capital allocation, as we've always said, we look to reward our long term shareholders and one of the ways in which we focus on rewarding long term shareholders is through pursuing profitable growth opportunities. So the GPI project is something that we continue to see the merits of, as I mentioned earlier. I mean, if we think about that project, we have well positioned low-cost iron ore. We have blast furnaces that are in place at Granite City Works. Our coke plan is adjacent to those furnaces to provide the necessary fuel to make premium grade GPI for Big River. So that project is something that we continue to support and as we said before in looking at capital allocation, we take that into account as we focus on capital allocation today. We also continue to pursue other profitable growth opportunities outside of GPI. In doing that we are extremely disciplined in our approach and we also as you know look at dividends or buybacks and we'll continue to make decisions that reward our long term shareholders.
Nick Giles: Shantanu, Katherine, thanks again. Maybe if I could just sneak one more in. Met coal prices have been under pressure for some time and I was wondering if you could just remind us when the bulk of your contracting occurs throughout a typical calendar year. And do these prices impact the way that you approach procurement?
Shantanu Agrawal : So Nick, this is Shantanu. I will take that. For our long term take or pay contracts, those are all finalized. That happens around the September to November time period, right? And the coal prices there really does not affect our profitability, right, because those are like kind of pass through in our contract. And then when we are doing our foundry and spot coke sales, obviously, we are looking at the market and take that into account while we are pricing our those coals. So essentially, while we are buying those coals or finalizing the purchase of that, that's all factored in our kind of business plan or the projections here. Now as we announced today that we are essentially sold out for the full year, so more or less of our coal buys are finalized. During the time period where there is some unsold, right, like, say, we don't have clarity in the second half of the year where our smart coke is going, then we will have a little bit of open position, right? We try to tie our coal buys with our coke sales. So that's how it works. So specifically this year, there should be no major impact on our profitability from the coal purchases. And you're right that the prices we are seeing down pressure on that.
Nick Giles: Shantanu, that's very clear. Guys, again, thanks for all the comments and continued best of luck.
Operator: And our next question today comes from Nathan Martin with The Benchmark Company.
Nathan Martin: Thanks operator. Good morning everyone. Congrats on the strong finish to the year. I want to look at the domestic coke business specifically as we are looking at the initial 2025 guidance, I am calling for considerable step down in adjusted EBITDA which appears to be essentially entirely driven by lower expected EBITDA per ton. You guys called out the lower economics and margins at Granite City that was known before on that contract extension as well as lower margins at Haverhill on the higher spot sales. But could you help us better understand kind of the bridge from $58 a ton in 20.24 to $47 a ton, I think at the midpoint of 25 guidance. It would seem like margins maybe the other operations would also need to be down a little bit. Is that the case? Any color would be helpful.
Shantanu Agrawal : Sure, Nate. I mean, it's mainly driven by those two factors what we outlined, right. I mean, if you look at our sales projections from ‘24 to ‘25 and our operations, they are more or less kind of are going to be similar. Actually, as we outlined for 2024, we had some call to coke yields degradation, right, and that impacted our 2024 results. We expect to somewhat improve in those things in 2025. So, operations is expected to actually improve in ‘25. But the impact of the two items, which you outlined and we outlined here, the Granite City contract economics as well as the contract expiry at Haverhill, which is now at this point of time we are expecting to kind of go into the spot market. That is the driver of this big drop off in EBITDA in domestic coke.
Nathan Martin: Shantanu, any thoughts then maybe on kind of the cadence of EBITDA per ton for that business? Would you expect it to kind of weaken in the back half of the year given those items we just talked about?
Shantanu Agrawal : Are you talking about like from a quarter-to-quarter perspective?
Nathan Martin: Exactly.
Shantanu Agrawal : Yeah. I mean, we are -- like we -- the way we produce is 24/7, right? So we have to manage our sales as we produce. So we are trying to manage from quarter to quarter that we are able to sell this product when we produce it because you cannot store it really well. But to coming back to you, yes, we expect a slight decline in the second half of the year versus the first half of the year given that contract expires in the first half of the year.
Nathan Martin: Okay. That's fair. Maybe shifting gears over the logistics side, I think Mark you mentioned API2 price adjustment has now been replaced by an FOB New Orleans price adjustment. I think that's what I heard over there at CMT. Can we get some additional thoughts there, maybe what was the driver behind that change and is there any way we can track that index?
Mark Marinko : Yes. So the API2 price index, the reason for that customer made the request to change the index was that index wasn't really reflective of the markets they were playing in. So really wanted to change it more to a market that they more relates to the market that they're sending their product to. So that's really the reason for that change.
Nathan Martin: And is there any way we can track that on our side?
Shantanu Agrawal: I mean. Yes, the index is published by Platts on a daily basis, right? Like so right now, what we can say is that -- as we said, that there is no price benefit built into our guidance from that index. So you can assume that the index is not in the money right now, right? So -- and beyond that, it's hard for us to kind of disclose that. But if that index comes into the money, right, if it goes higher, then we'll have some benefit from that. I mean it will work very similar to the API2 index. If you think about it, like the way it has worked. Now the points that we get into money versus out of money are slightly different, obviously, with being a different index.
Nathan Martin: Is it fair to assume that the economics, though, are fairly in line with the API2 investment you guys had previously, from your standpoint?
Shantanu Agrawal: Yes. I mean, you can see that from the guidance, right? Like kind of in 2024, we had a significant benefit from the API2 index, right? And that was kind of -- that drove part of the results of logistics. And in '25, what we are saying is we are seeing an increase in the domestic logistics volumes. But the offset is that we are not assuming any this price benefit, right? So yes, the economics are very similar.
Nathan Martin: Okay. Perfect. I appreciate that. And then maybe just kind of wrapping up on CapEx, your guidance, $65 million for the full year. As you guys mentioned, that's below your normal level plus, I'm assuming that includes probably some remaining CapEx for the KRT upgrades. Is it possible to get a breakdown of that spend, maybe a little bit more color why it's coming in below normal levels? And then how should we think about the timing -- should it be heavier maybe in the first half, just given the ramp-up of spend at KRT?
Katherine Gates: Sure. So with respect to the overall amount coming down, we had had some very large projects that had been occurring in the prior years. We have now finished those projects. So those projects being complete is really the driver overall for the drop in our regular M&R CapEx. In terms of the breakdown in the $65 million, $5 million of that is growth CapEx for the remainder of the KRT project. And so as we sort of look going forward, we are really pretty steady for all 4 quarters. So you should see the CapEx spend really be steady for the full -- excuse me, for the full year.
Nathan Martin: Got it. Thank you Katherine. I mean, that $60 million maintenance, is that just -- is that a good way to think about things going forward?
Katherine Gates: I would say that our run rate CapEx has been higher in the past, and we may have additional larger spend going forward. So I think you can still think of $70 million to $80 million as being our typical run rate CapEx.
Nathan Martin: Okay. Yes. And that was the genesis of my question. It really why is it lower than that $70 to $80 million. I guess, just some of those other products wrap. I mean just maybe a final question, coming back to the Granite City GPI project. Clearly, the acquisition, U.S. Steel by Nippon was blocked, although I think they're maybe a couple more months left on that agreement and so some turmoil possible with litigation, et cetera. How has that impacted your conversations with U.S. Steel if the deal does end up not coming to fruition, could that speed up a decision on the GPI project and then -- at what point do you guys think you could give us any kind of ideas on CapEx would have to wait until that thing moves forward or any additional thoughts, that would be great?
Katherine Gates: Well, you use the word wait. And I think wait is the sort of the word of the day. And we continue to wait with all the other parties as the lawsuit progresses, the deadline, as you mentioned, was extended to June -- and frankly, we've been negatively impacted. Many others have been negatively impacted by how long this is taken. With that said, the project is as strong today as it was when we announced it. So looking at U.S. Steel, we started the discussions with U.S. Steel prior to any sale process for U.S. Steel. And again, the basis for that for the project has always been the fact that the economic fundamentals are so strong between the low-cost iron ore, the blast furnaces, our adjacent coke plant and the fact that we could be making this high premium GPI for Big River. So the benefits continue would be there for all the parties going forward, right? Whether we're talking about the miners, the Granite City Works employees, our employees and then the vendors and businesses that support our plant in U.S. Steel's plant. So there's no change in our hypothesis about this going forward. Obviously, if the project doesn't -- excuse me, if the sale doesn't go forward, again, the fundamentals of the project are there. And we've always said that we would look forward to working with Nippon or any other party, U.S. Steel or otherwise on this project.
Shantanu Agrawal: One thing, I think, Nathan, you also mentioned like I think you asked about CapEx. When we announced this project two years back June 2022, again, there's 2 years dated, but -- what we did say was the CapEx on this project would be around 2 years of free cash flow plus some revolver borrowing, right? So we kind of gave some kind of guidelines around what the CapEx would be. So just wanted to highlight that, that like we did say that at that point of time.
Nathan Martin: Yes, Shantanu, I appreciate that remind I recall that now, Katherine, thank you for your answer as well. And Mark, I'll leave it there. Best of luck in '25.
Operator: Our next question comes from Abe Landa with Bank of America.
Abe Landa: This is Abe Landa. Thank you for taking my question. And maybe moving on to kind of one of the -- your -- which is going through EBITDA reconciliation. And under that transaction costs no, I saw that spend kind of increase from $1.8 million in the fourth quarter versus $0.2 million in the prior 9 months. You also added this language of potential mergers and acquisitions. I guess, what is the M&A that's being considered are you being acquired? Are you looking to acquire something? And kind of what are these areas of growth?
Katherine Gates: Well, as I mentioned before, we are always looking at potential profitable growth opportunities. And so in doing that, and this is obviously in addition to the GPI project, so in doing that, we will spend money in order to look at and potentially move forward with opportunities. Obviously, what we look at and whatever potential growth opportunities are out there are not something that we can discuss unless something was to come to fruition.
Abe Landa: These areas that you're currently operating in? Or different areas?
Katherine Gates: In terms of pursuing profitable growth opportunities, as I've said before, we remain very disciplined. So we obviously focus when we look at growth on areas where we think that we can add value. And again, it would have to be something where we knew that it could be profitable and reward our long-term shareholders.
Abe Landa: Okay. And then maybe the next question is just on your revolver with [indiscernible] in 2026. I think it entices current in about 5 months. Are you having any early discussions with banks about potentially extending or anything along those lines with the revolver?
Shantanu Agrawal: Yes. Abraham, yes, definitely right. Like I mean it comes current in June of 2025, right? So we have had some early discussions and we'll address it as it comes along. So no red flags or no issues as we see there.
Abe Landa: Those are the only two questions that I have. Thank you so much.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Katherine Gates for any closing remarks.
Katherine Gates: I want to thank everyone for joining us today, and again, thank the SunCoke team for their hard work and record-setting safety performance in 2024. We are well-positioned to meet our financial targets and create value for shareholders. Let's continue to work safely today and every day.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.